Operator: Greetings and welcome to the Take-Two Interactive Software Fourth Quarter Fiscal Year 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Hank Diamond, Senior Vice President of Investor Relations and Corporate Communications for Take-Two Interactive. Thank you. Mr. Diamond, you may begin.
Henry A. Diamond - SVP-Investor Relations & Corporate Communications: Good afternoon. Welcome and thank you for joining Take-Two's conference call to discuss its results for the fourth quarter and fiscal year 2015 ended March 31, 2015. Today's call will be led by Strauss Zelnick, Take-Two's Chairman and Chief Executive Officer; Karl Slatoff, our President; and Lainie Goldstein, our Chief Financial Officer. We will be available to answer your questions during the Q&A session following our prepared remarks. Before we begin, I'd like to remind everyone that the statements made during this call that are not historical facts are considered forward-looking statements under Federal Securities laws. These forward-looking statements are based on the beliefs of our management, as well as assumptions made by and information currently available to us. We have no obligation to update these forward-looking statements. Actual operating results may vary significantly from these forward-looking statements based on a variety of factors. These important factors are described in our filings with the SEC, including the company's Annual Report on Form 10-K for the fiscal year ended March 31, 2014, including the risks summarized in the section entitled Risk Factors, and the company's quarterly report on Form 10-Q for the fiscal quarter ended December 31, 2014. I'd also like to note that unless otherwise stated, all numbers we will be discussing today are non-GAAP. Please refer to our earnings release for a GAAP to non-GAAP reconciliation and further explanation. Our earnings release and filings with the SEC may be obtained from our website at www.take2games.com. And now, I'll turn the call over to Strauss.
Strauss H. Zelnick - Chairman & Chief Executive Officer: Thanks, Hank. Good afternoon and thanks for joining us today. I'm extremely pleased to report that Take-Two delivered better than expected non-GAAP earnings in the fourth quarter, marking an outstanding close to one of our best years ever. These extraordinary results were driven by the unparalleled creative excellence of our worldwide teams who seamlessly launched one of the strongest holiday line-ups in Take-Two's history, added an important new franchise with the successful release of Evolve and achieved record digitally delivered revenue, including our highest ever recurrent consumer spending. As a result of the significant cash flow generated by our business, at fiscal yearend, we had approximately $1.1 billion in cash and short-term investments. Grand Theft Auto V has continued to enjoy positive momentum which began with the title's record-breaking launch on PlayStation 3 and Xbox 360 in September 2013. Rockstar Games built on this unprecedented success with the release of the title on PlayStation 4 and Xbox One in November 2014, delivering a game that captivated consumers and critics alike with major updates and new features such as the series debut of a first person mode. And just last month, the title had another stellar launch on the PC which Karl will discuss. Grand Theft Auto V is one of the most critically acclaimed and commercially successful video games ever, with sell-in to-date of nearly 52 million units. Moreover, Rockstar Games continues to drive ongoing consumer engagement and generated meaningful high margin revenues through the vast open world of Grand Theft Auto Online. In addition to Grand Theft Auto V, each of our four other holiday releases outperformed the initial expectations. NBA 2K 2015 was the highest rated sports title of 2014 across console and PC based on average Metacritic score. The title has sold in nearly 7 million units to-date and overall revenue is up substantially versus the same period for NBA 2K14, driven by both higher sales and growth in returned consumer spending. WWE 2K15 had sold in approximately 3 million units to-date, up more than 40% versus the same period for WWE 2K14. Going forward, we believe there's a long-term opportunity to grow the franchise substantially by further leveraging Visual Concepts development expertise. Rounding out our holiday lineup with Borderlands: The Pre-Sequel and Civilization: Beyond Earth. Both of these titles were substantial and profitable contributors to our results and their success demonstrate the enduring popularity of these key 2K franchises. In February, 2K and Turtle Rock Studios released our highly anticipated new intellectual property Evolve. The title launched to positive reviews from influential critics such as IGN and Game Informer and has performed above our expectations with sell in to-date of approximately 2.5 million units, nearly 20% of which were digitally delivered. Consumers remain highly engaged with Evolve, playing more than 27 million game sessions since March. Moreover revenues have benefited from strong consumer demand for the title downloadable add-on content, including a Season Pass. We expect Evolve to be a key long-term franchise for 2K. In March, 2K and Gearbox Software launched Borderlands: The Handsome Collection, bringing the series to new gen consoles for the first time. The Handsome Collection launched to positive reviews and sales have exceeded our expectations, with more than 20% of units delivered through digital download. The Borderlands franchise has now sold in nearly 25 million units, including over 8 million units in fiscal 2015 alone. We continue to capitalize on our industry's ongoing transition to digital distribution. During fiscal 2015, non-GAAP digitally delivered revenue increased by 42% to a new record of $660 million or 37% of total non-GAAP net revenue. This growth was driven by full games downloads of our new releases in catalog along with the successful execution of our strategy to drive ongoing engagement with our titles. Recurrent consumer spending increased 45% year-over-year and accounted for nearly half of our non-GAAP digitally delivered revenue or 18% of our total non-GAAP net revenue in fiscal 2015. Grand Theft Auto Online generated its highest ever revenue in the fiscal fourth quarter and has both exceeded our expectations and is now (06:52) single largest contributor to recurrent consumer spending in every periods since launch. Sales of the games virtual currency has been supported by Rockstar Games' ongoing release of numerous free content updates, including Heists, which we launched in March. Virtual currency for NBA 2K has also been a key driver of growth. During fiscal 2015, sales grew nearly 85% year-over-year, benefiting from both increased online game plays for NBA 2K15 and significant engagement with MyNBA 2K15 companion app. Downloadable add-on content is an important contributor to ongoing engagement for many of our titles. Over the past year, we released successful offerings for Borderlands 2 and Borderlands: The Pre-Sequel, Evolve and WWE 2K15. Recurrent consumer spending was also enhanced by NBA 2K Online, our free to play basketball game launched in partnership with Tencent in China. The title continues to generate growing revenues and high profit margins and currently is the number one PC online sports game in China, with over 25 million registered users. And we benefited from strong engagement with WWE SuperCard, which has been downloaded nearly 7 million times to-date and is Take-Two's most financially successful free-to-play mobile offering. Driving ongoing engagement with our titles is a key strategic focus for our organization. We're only in the early stages and recurrent consumer spending remains a significant high margin growth opportunity for our business over the long term. During fiscal 2015, we released 10 offering for tablets and smartphones across a variety of the offerings. These included catalog titles, such as BioShock, new releases such as NBA 2K15 and Sid Meier's Starships and companion apps such as MyNBA 2K15 and Evolve: Hunters Quest. As mobile devices particularly tablets become more powerful and increasingly ubiquitous, there will be even greater opportunities to leverage our portfolio and deliver triple-A entertainment experiences to an ever wider audience. In addition to our creative and operational excellence, Take-Two's results have benefited from the better than expected performance of the new console cycle. According to IDG estimates, the global installed base of new gen consoles currently exceeds 34 million units and is projected to reach 50 million units by the end of this year and 110 million units by 2019. This robust growth is a wind at our backs and represents a significant long-term opportunity for our business. As a result of our strong cash flow, we have ample capital to pursue a variety of investment opportunities. I'm pleased to report that our Board of Directors has increased our share repurchase authorization up to 10 million shares. This reflects our confidence in the company's financial outlook and commitment to return additional cash to shareholders through opportunistic share repurchases. Fiscal 2016 is off to an excellent start and our outlook reflects another year of substantial non-GAAP profits and positive cash flow. We expect to deliver these results with fewer new releases than in fiscal 2015, anchored by proven franchises. The launch of an exciting new intellectual property, Battleborn, and an array of innovative digitally delivered offerings designed to delight audiences and drive recurrent consumer spending. We'll also continue to invest aggressively in our long-term development pipeline, in order to broaden our portfolio and deliver growth and margin expansion in future years. Our strong earnings and positive outlook underscore that Take-Two is a very different organization today than in early years of the last console cycle. Our company has been transformed into a global interactive entertainment enterprise with the industry's top creative talent, a diverse portfolio of industry leading franchises and a solid financial foundation. We're better positioned than ever to deliver non-GAAP profits every year for the foreseeable future and returns for our shareholders over the long term. I'll now turn the call over to Karl.
Karl Slatoff - President: Thanks, Strauss. I'd like to begin by congratulating our teams for delivering an incredibly strong year. Our entire organization contributed to the successful execution of our strategy. The results of which will continue to benefit our company over the long term. As Strauss said earlier, fiscal year 2016 is off to an excellent start. On April 14, Rockstar Games successfully brought its record-shattering hit, Grand Theft Auto V for the PC. The title has outperformed our expectations with more than 75% of units delivered through digital downloads, and it has the highest number of concurrent users for a non-Valve title in the history of games. At launch, PC gamers were able to access the vast open world of Grand Theft Auto Online, including all its previously released content and the widely lauded titles. We are experiencing strong consumer engagement with Grand Theft Auto Online across consoles and the PC, and Rockstar Games plan to continue to support the title with the ongoing release of three additional content. Also in April, 2K brought WWE video gaming to the PC and mobile platforms for the first time ever with the release of WWE 2K15 for PC and WWE 2K for iOS and Android. WWE 2K15 for PC enables gamers to experience all of the in-ring action of the new gen console game on their computers. WWE 2K for iOS and Android provides wrestling action on the go and offers players a variety of popular superstars, game modes and more in a premium mobile format. Late last quarter, 2K and Turtle Rock Studios released the first add-on content for Evolve including the fourth playable Monster, Behemoth, four new playable Hunters, a free Observer Mode, and more. Building on its success, we will continue to support Evolve with additional content throughout fiscal 2016 including a new Monster, additional Hunters and an exciting new game mode In addition, 2K, Turtle Rock Studios and Electronics Sports League last month announced the Evolve Proving Grounds tournament exclusively on Xbox One. This global contest allows players to compete in qualifying and regional events, culminating with a global finale in Los Angeles during the week of June 15 where the top teams will be vying for $100,000 prize pool. I now would like to discuss our pipeline for the remainder of fiscal 2016. Today, 2K announced Sid Meier's Civilization: Beyond Earth – Rising Tide, a thrilling, in-depth expansion pack from series creator Firaxis Games which is scheduled for release this fall. Rising Tide expands Beyond Earth to new frontiers on the planet surface and beneath the sea and adds even more choices and diplomatic options as players continue to build a new vision for the future of humanity. Also this fall, we plan to release new annual versions of NBA 2K and WWE 2K which promise to once again capture the passion of the dedicated fans and set new benchmarks for realism and authenticity. We also enhanced our track record of launching successful new IP with the release of Battleborn, currently developed for PlayStation 4, Xbox One and the PC by Borderlands creators, Gearbox Software. Battleborn is a first-person shooter with a deep roster of unique playbook heroes. Through the game's accelerated character growth system, every hero can be fully experienced in a single story mode mission or multi-player match. Next month, Battleborn will be at E3 in a big way and we will have more news to share about the title prior to the show. In addition, consumers have responded to the upcoming announcement of the new triple A title from 2K which is planned for release in fiscal 2016. Continuing with our focus on driving ongoing engagement with our titles, we plan to support virtually all of our recent and upcoming releases with value-added offerings, designed to drive recurring consumer spending. We'll also continue to execute our successful strategy of bringing online games to Asian markets. Gamers in the Asia will soon get to experience Civilization Online, our free to play mass multiplayer online game that is being developed in partnership with renowned South Korean-based studio XL GAMES Civilization Online is planned for commercial launch in Korea during fiscal 2016. And 2K recently announced a publishing deal with GameFirst (15:28) to bring the title to Taiwan, Hong Kong, and Macau. Online games in Asia represent an enormous market opportunity and we'll continue to invest to expand our initiatives in this area. Next month, 2K will have a significant presence of it at E3 where many of our upcoming releases will be on display. We welcome you to stop by our booth and see firsthand how we intend to continue to deliver the most innovative, creative and engaging titles in our industry. I'll now turn the call over to Lainie.
Lainie Goldstein - Chief Financial Officer: Thanks, Karl. Good afternoon, everyone. Today I'll review our results for the fourth quarter and fiscal year 2015 and then discuss our outlook for the first quarter and fiscal year 2016. All of the numbers I'll be providing today are non-GAAP and all comparisons are year-over-year unless otherwise stated. Our press release provides reconciliation of our GAAP to non-GAAP measurements. Starting with our fourth quarter results, net revenue grew 83% to $427.7 million. This result was in line with our outlook range of $410 million to $460 million, as the negative impact of moving the launch of Grand Theft Auto V for the PC was offset by stronger than expected revenues from Grand Theft Auto V, Grand Theft Auto Online, Borderlands: The Handsome Collection and Evolve. Digitally delivered revenue grew 66% to $202.5 million, 64% of which was derived from recurrent consumer spending, which increased 47% year-over-year. The largest contributors to digitally delivered revenue were Grand Theft Auto, NBA 2K and Evolve. Catalog sales accounted for $78.3 million of net revenue, led by the Grand Theft Auto and Borderlands series. Gross margins increased slightly to 47.8%. Operating expenses were $125 million, up by $36.7 million due to higher marketing expense for our fourth quarter releases and higher research and development expense. Interest and other expense was $1.6 million, tax expense was $23.6 million and non-GAAP net income increased to $54.3 million or $0.49 per share, up from $21.5 million or $0.21 per share in the prior year's fourth quarter. This result exceeded our outlook range of $0.15 to $0.25 per share due primarily to higher than expected digitally delivered revenues and the timing of marketing expense. On a GAAP basis, we reported net revenue of $301 million and net loss of $242.8 million or $2.99 per share. Turning now to our full year results. Net revenue was $1.67 billion versus $2.4 billion in fiscal 2014, which had benefited from the launch of Grand Theft Auto V on PlayStation 3, Xbox 360. The largest contributors were Grand Theft Auto V and Grand Theft Auto Online, NBA 2K15, WWE 2K15 and Evolve. Digitally delivered revenue grew 42% to $660 million, 49% of which is derived from recurrent consumer spending which increased 45% year-over-year. The largest contributors to digital sales were Grand Theft Auto and NBK 2K, Borderlands and Sid Meier's Civilization. Gross margins increased 6.9 percentage points to 48.4% due primarily to a higher mix of digitally delivered revenues. Operating expenses were $498.2 million, up by $29.7 million due to increased personnel expense on the higher head count, higher research and development expense and increased depreciation expense which partially offset by lower selling and marketing expense. Interest and other expense was $9.9 million. Tax expense was $80.3 million and non-GAAP net income was $219.2 million or $1.98 per share as compared to $510.7 million or $4.26 per share in fiscal 2014. On a GAAP basis, the reported of $1.08 billion a net loss of $279.5 million or $3.48 per share. Turning to some key items from our balance sheet in March 31, 2015, as compared to December 31, 2014. Our cash and short-term investment balance increased to $1.1 billion. This equates to net cash of approximately $9.18 (19:53) per share, which included the potential dilution from our convertible notes. Our cash receivable balance decreased to $217.9 million, primarily reflecting collection of receivables. Inventory decreased slightly to $20.1 million and software development costs and licenses decreased modestly to $287.7 million. Now I'll review our financial outlook for the first quarter and fiscal year 2016 which is provided on a non-GAAP basis. Starting with the fiscal first quarter, we expect net revenue to range from $325 million to $350 million and net income to range from $0.25 to $0.35 per share. The majority of revenue is expected to come from Grand Theft Auto V and Grand Theft Auto Online, NBA 2K15 and Evolve. We expect gross margins in the upper 40%. Total operating expenses are expected to increase by approximately 27% due primarily to higher marketing expense and higher research and development expense. Selling and marketing expense is expected to be about 14% of net revenue based on the midpoint of our outlook range. Our first quarter outlook also reflects interest and other expense approximately $2 million, tax expense of $11 million and weighted average fully diluted shares of approximately 114 million. Interest on the convertible notes, net of tax is $1.4 million, which would be added back to net income to calculate net income per share. Turning to the details of our full year outlook. We expect net revenue to range from $1.3 billion to $1.4 billion and net income to range from $0.75 to $1 per share. The majority of revenue is expected to come from Grand Theft Auto V and Grand Theft Auto Online, NBA 2K16, Battleborn, WWE 2K16, Evolve and the soon to be announced new title from 2K. We expect the revenue breakdown from our labels to be roughly 65% from 2K and 35% from Rockstar Games. We expect our geographic revenue split to be about 55% United States and 45% international. We expect gross margins in the mid to upper 40s%. Total operating expenses are expected to increase by approximately 3% driven primarily by increased personnel expense from the higher head count at our development studios, higher research and development expense and increased depreciation expense. Selling and marketing expense is expected to be about 17% of net revenue based on the midpoint of our outlook range. And we project interest and other expense of approximately $8 million, tax expense of $35 million and weighted average fully diluted shares of approximately 114 million. Interest on the convertible notes, net of tax is $5.6 million, which would be added back to net income to calculate net income per share. We expect our operations to generate cash in fiscal 2016 to be approximately cash flow neutral during the first quarter. Building on the momentum one of Take-Two's best years ever, fiscal 2016 is poised to be another strong period for our company. Our ability to continue to generate meaningful non-GAAP profits have resulted from our consistent delivery of the highest quality interactive entertainment (23:03) with our industry leading creative assets and ample capital, Take-Two is well positioned to deliver growth and margin expansion over the long term. Thank you. Now I'll turn the call back to Strauss.
Strauss H. Zelnick - Chairman & Chief Executive Officer: Thanks, Karl and Lainie. On behalf of our entire management team, I'd like to thank our colleagues for delivering another exceptional year and enhancing further our long-term potential. To our shareholders, I want to express our appreciation for your continued support. And now what we would like to do is take your questions. Operator?
Operator: Thank you. Our first question is from Ben Schachter of Macquarie. Please go ahead.
Benjamin Schachter - Macquarie Capital (USA), Inc.: Hey guys. Congratulations on a good year and a good guidance for the coming year. Few questions here. One, your Rockstar pipeline, how should we be thinking about that? Are you focused on trying to get one new release per year? Is it going to be more sporadic? Any color there would help. And then if we can drill down a bit into the recurrent revenue. I assume it's mostly coming from the console, but is it 90% console and then PC and mobile are relatively small or is it more evenly distributed between console, mobile and PC? And then finally, Lainie, can you just remind us how the revenue recognition works for the key drivers of recurrent on console, is it net or gross on mobiles, is it net or gross and how does the revenue recognition work from NBA in China? I know a lot, but thanks.
Strauss H. Zelnick - Chairman & Chief Executive Officer: Hey, Ben, it's Strauss. Thank you very much. And we really appreciate it. In terms of the question about Rockstar, they're hard at work on the pipeline. They make their announcements when they have something coming up. And the results of GTA V I hope speak for themselves. I just want to note, there is a difference in the Rockstar of today and the Rockstar a few years ago, because we have this ongoing entity, GTA Online. And that is a living, breathing, ongoing entity that's continuing to deliver revenue and profits for the organization. So that's going on as we speak and that's going on as their pipeline builds through ongoing development. We're probably not distinguishing between our expectations for console and PC. I think that was your second question. And Lainie will take you through our revenue recognition policies. I think you specifically called out NBA 2K Online in China?
Lainie Goldstein - Chief Financial Officer: Yes. So for NBA 2K Online in China and most of our mobile and digital revenue is all booked on a net basis and our physical products are on a gross basis.
Strauss H. Zelnick - Chairman & Chief Executive Officer: Okay. Next question, please.
Operator: Thank you. The next question is from Mike Olson of Piper Jaffray. Please go ahead.
Michael J. Olson - Piper Jaffray & Co (Broker): All right. Thanks. Good afternoon. Couple of questions. You indicated that NBA 2K was up substantially year-over-year. Would you attribute that growth to a larger next-gen console installed based, a growing player base for that game in particular it continues to have strong reviews, the growth of interest in the NBA or some other factors or kind of all the above? And then secondly you mentioned on Evolve 20% full game downloads there. Is that what you kind of anticipate you'll see for kind of all your future releases, or is there any reason why that was an anomaly at that high of a percentage? Thanks.
Strauss H. Zelnick - Chairman & Chief Executive Officer: Hey, it's Strauss, thanks. Look the NBA is – the answer to your question all of the above. We obviously are seeing robust growth in new gen consoles and the title continues to get better and better and the audience continues to grow. And we hope that will continue. And our virtual currency sales are also meaningfully up year-over-year. So it's initial engagement and ongoing engagement which is reflecting recurrent consumer spending. And in terms of what percentage of our revenue is reflected by digital distribution, we really aren't making projections like that but I think what you're seeing here is digitally delivered revenues continue to grow in importance for our company. In the past fiscal year, it's about 37% of our non-GAAP income and about half of that was recurrent consumer spending, business line that didn't even exist for us four years ago. So it's pretty much good news across the board. And digitally delivered revenue is indeed higher margin for us. So our gross margins are now knocking on the door of 50% the past fiscal year that's great news indeed.
Michael J. Olson - Piper Jaffray & Co (Broker): All right. Thanks a lot.
Operator: Thank you. The next question is from Eric Handler of MKM Partners. Please go ahead.
Eric O. Handler - MKM Partners LLC: Yes. Thanks for taking my question. Few questions for you. First, continuing on the NBA questions. I'm just curious over the last couple of years have you seen larger growth or maybe is the percentage of total revenues for international for that title increasing as the NBA continues to grow globally? Also in terms of, this is a good question for Lainie, with guidance in terms of phasing – I don't how much you're willing to provide right now – but it looks like you're going to have a good first quarter. Second quarter looks a little sparse in terms of new releases and you'd look okay for third and fourth quarters. Is it reasonable to think that second quarter is probably your low point, maybe EPS losses for that quarter and the rest of the quarter seem that they should be profitable? And then last with taxes, are you guys a full tax payer now? How do we think about your tax rate overall?
Strauss H. Zelnick - Chairman & Chief Executive Officer: Yeah. This is Strauss. We are seeing nice growth in international markets for NBA. And that is something the team at 2K has really focused on and I think you'll continue to see focus on. Lainie?
Lainie Goldstein - Chief Financial Officer: So for guidance with pacing, we're only giving out for Q1 right now. So we're not talking about the rest of the quarters. And for taxes for the full year looking at tax rate of about 27%, which is similar to what we saw last year that can change and vary from quarter to quarter based on discrete items and reserve and also NOL usage. And we are a full tax payer but we do have some NOLs still in the U.S. to use and in foreign. The $70 million in the U.S. and then about $22 million in foreign NOLs.
Eric O. Handler - MKM Partners LLC: Thanks a lot.
Operator: Thank you. The next question is from Drew Crum of Stifel. Please go ahead.
Drew E. Crum - Stifel, Nicolaus & Co., Inc.: Okay, thanks. Good afternoon, everyone. So Strauss I think you mentioned that Grand Theft Auto Online has record quarterly results. What do you attribute that to and what can you do to keep that momentum going as you look ahead? And then as far as fiscal 2016 guidance is concerned what are you contemplating or assuming in terms of digital should it be up, should it be down for the year. Any comments really (30:12) there? Thanks.
Strauss H. Zelnick - Chairman & Chief Executive Officer: Yeah. In terms of GTA Online, I think you're seeing reflection of the next-gen growth and you're also seeing the reflection of Heists content. So I think that's probably what's driving engagement and the focus is on driving consumer delight. The numbers come from that. And I'm sorry, can you clarify your second question?
Drew E. Crum - Stifel, Nicolaus & Co., Inc.: What are you assuming as far as digital is concerned. That's been a growth piece for the company the last several quarters. Should it be up in fiscal 2016 or are you willing to comment on that?
Lainie Goldstein - Chief Financial Officer: We expect digitally delivered revenue to grow in fiscal 2016, both in dollars and in percentage of total revenue. The growth will be driven by increased full game download which will offset a modest decline in revenues from recurrent consumer spending. The digitally delivered content for both traditional and emerging platforms represents an important component of our strategy to drive growth and profits. And we expect to see digitally delivered revenue to grow significantly over time.
Drew E. Crum - Stifel, Nicolaus & Co., Inc.: Got it. Okay, perfect. And one last question. Is there any shares repurchase that contemplated in the $0.75 to a $1 guidance you provided?
Strauss H. Zelnick - Chairman & Chief Executive Officer: No, there's none.
Drew E. Crum - Stifel, Nicolaus & Co., Inc.: Okay. Thanks, guys.
Operator: Thank you. The next question is from Justin Post of Merrill Lynch. Please go ahead.
Justin Post - Bank of America Merrill Lynch: Great. Two questions. First, GTA has been a phenomenal success, 52 million units. Can you help us at all understand how many people are active online or playing online right now? Any thoughts on the conversion there? And the second, pretty big buyback here. I'm just kind of wondering, why you went ahead with that now, was it kind of gaining better visibility on this year or what kind of prompted that decision now? Thank you.
Strauss H. Zelnick - Chairman & Chief Executive Officer: Yeah. We were actually not giving out any metrics on GTA Online in terms of player engagement. Obviously, we have a lot of data but this line of business still remains relatively new for us. So we are not sharing it at this time. And in terms of the buyback authorization. And it is indeed only an authorization – that's a reflection of our cash position, which is better than obviously than our original guidance was.
Justin Post - Bank of America Merrill Lynch: Okay, thank you.
Operator: Thank you. The next question is from Brian Fitzgerald with Jefferies. Please go ahead.
Brian P. Fitzgerald - Jefferies LLC: Thanks, guys. A couple more on GTA. I think you said, the digital download percentage was 75%, so I just want to clarify that. And then, with GTA V PC launch at the end of the quarter, I'm curious what type of demand you're seeing extending beyond June, if you will? And then in terms of the online engagement, I know you won't talk too much about that, but did the PC launch impact trends positively or negatively anyway there?
Strauss H. Zelnick - Chairman & Chief Executive Officer: Yeah, it's not in the quarter obviously, so we've launched GTA for PC in the first quarter of the new fiscal year. In terms of GTA digital, 75%...
Karl Slatoff - President: For the PC.
Strauss H. Zelnick - Chairman & Chief Executive Officer: Yeah, for the PC. That was PC owned to clarify, did that answer your question?
Brian P. Fitzgerald - Jefferies LLC: Yeah, yes. It does. Thanks.
Strauss H. Zelnick - Chairman & Chief Executive Officer: Okay.
Operator: The question is from Arvind Bhatia of Sterne, Agee. Please go ahead.
Arvind Bhatia - CRT Capital Group LLC: Thanks for taking my question. I wanted to understand your guidance a little bit better in the context that last year you provided what in hindsight was very conservative guidance, and I want to congratulate you because that's it's a high-class problem to have. You had several products that provided upside. As you look out to fiscal 2016, your guidance seems similar and last year was GTA V on next-gen, as you look at this year you have Battleborn and you have GTA V on PC that you just launched. Just help us frame the upside potential, if you will, for this year relative to last year? And then my second question is on GTA V on PC. The numbers on GTA V, I think you gave last quarter were 45 million, now 52 million is that all primarily the PC version or the console version also continues to sell? Thanks.
Lainie Goldstein - Chief Financial Officer: Arvind, in terms of our guidance from last year, when we gave out guidance that is where we thought that was our best estimate at the time when we gave those numbers out. We had a very robust release schedule and everything seemed to blow our expectations which was a fantastic result. And shows in our full year actual. And if you look at GTA V next-gen in our numbers, the install base grew a lot stronger than we thought it was last year and I think that also drove our numbers up as well as digitally delivered offerings and our recurrent consumer spending. When we set our year right now, this is our best estimates based on what we know right now. Of course, we're hopeful to see the same types of results but there is no way for us to know that information now which is why we're guiding to the numbers that we feel comfortable are our best estimates for right now and today. So for GTA V PC, in terms of that being the difference in the units, it's driven by the two consoles, next get, current gent as well as PC and that's why you're saying an uptick in the number on GTA V in general.
Arvind Bhatia - CRT Capital Group LLC: Okay. Thank you.
Operator: Thank you. The next question is from Doug Creutz of Cowen. Please go ahead.
Doug L. Creutz - Cowen & Co. LLC: Thank you. When you had originally launched GTA V, I believe that you had said that there was going to be some story-based DLC content shipping eventually and obviously where your past (36:32) game launch. Is that still something that you have planned? And I'm sure you're not going to talk about timing but is there still something that's in the pipeline for you guys, eventually? Thank you.
Strauss H. Zelnick - Chairman & Chief Executive Officer: No, we haven't discussed any story-based downloadable content. We did talk about the Heists and they've been released.
Doug L. Creutz - Cowen & Co. LLC: But I am correct in remembering that you had talked about that around the launch of the game?
Strauss H. Zelnick - Chairman & Chief Executive Officer: We have different recollections.
Doug L. Creutz - Cowen & Co. LLC: Okay. Thank you.
Operator: Thank you. The next question is from Mike Hickey of The Benchmark Company. Please go ahead.
Michael Hickey - The Benchmark Co. LLC: Hey, guys. Nice quarter. Thank you for taking my questions. Nice year too. I jumped on a little late drop, I apologize if you've answered this specifically, forgive me. But for your fiscal year guidance here looks pretty strong considering you don't have a Rockstar Game planned. It would seem that historically, we've been sort of condition for one triple A release from Rockstar every fiscal year and of course you have the PC port but that was sort of delayed from IV. So I'm curious how you think about the pacing. I guess your Rockstar Games and if something has changed from previous pace to your expectations? And I have a follow-up.
Strauss H. Zelnick - Chairman & Chief Executive Officer: Yeah. Mike, actually the question was posted before you joined the call. So I'll answer in the same way, which is, Rockstar is hard at work on the number of upcoming titles. And remember, our world has changed and that we have GTA Online in the marketplace and that's an ongoing activity of Rockstar and it generates a lot of consumer engagement and it also generates revenue and profits on an ongoing basis. So it was a little bit different than it used to be but make no mistake about it. Rockstar is hard at work on a lot of great stuff.
Michael Hickey - The Benchmark Co. LLC: Yeah, no, fair enough. Sorry for asking something that's been asked. I know you haven't provided too much information on GTA Online, but if you would, I'm sort of curious on how you think about online sales to trend through the remainder of the year and I believe you did guide the recurring category lower to your fiscal year. And if we should – I know, you can't give too much visibility, Strauss, I hate asking questions you can't answer. But if we should anticipate the potential of another larger content release, maybe similar to Heists to keep player engagement for your Online business?
Lainie Goldstein - Chief Financial Officer: We have a little – because GTA Online is unlike anything else, we have little visibility on how long it will continue its trend of growth. Therefore for purposes of this year's outlook, we've assumed no growth in revenues from GTA for fiscal year 2016.
Michael Hickey - The Benchmark Co. LLC: And are they still engaged in driving additional content for the online piece, Strauss, or is it...
Lainie Goldstein - Chief Financial Officer: Yes, Mike, we do expect to see additional content and updates for GTA Online.
Michael Hickey - The Benchmark Co. LLC: Okay. All right. Thanks, guys. Best of luck.
Operator: Thank you. The next question is from Ben Schachter of Macquarie. Please go ahead.
Benjamin Schachter - Macquarie Capital (USA), Inc.: Hi, thanks for the extra questions. Strauss, I just want to go back to something you said at the beginning of the call about – the company being so different than it was at the beginning at the last console cycle. Aside from the obvious success of GTA, can you just talk a bit about what has changed over these years, because you're clearly a much different and a much better company than it was a long time ago. So what do you think is really driving that outside of GTA?
Strauss H. Zelnick - Chairman & Chief Executive Officer: I'd probably – I'd point any number of things. The first is just the diversification of our product line-up. So every year since 2007, the company as a whole has launched at least one new significant intellectual property. And today we have 10 titles that have each sold over 5 million units for individual release. And over 40 titles that have sold 1 million units. So that's pretty amazing and I think really industry leading and of course some of the largest titles in the industry. One of the other changes is the significant focus on Asia and international markets of course the growth in our basketball business and our sports business and the emergence in growth of recurrent consumer spending across a number of categories. So not just GTA Online which is obviously very, very meaningful but also NBA 2K, NBA 2K Online in China and the like. So the company has been transformed from a geographical point of view, from a product point of view, from a channel point of view, and from the way in which we address the consumer. And let's not leave out the transition of the industry and ourselves to use digitally delivered revenue which has had a knock on effect to the good for our gross margin which is now around 50% in this past fiscal year, which is a very high gross margin indeed. So pretty much across the board we've been transformed. Our balance sheet has also been transformed. And we've been building more in (41:44) cash right now. And we account for our converted (41:48) equity, so effectively that's a $1.1 billion in net cash.
Benjamin Schachter - Macquarie Capital (USA), Inc.: Okay, thanks. It's good to see the progress, and good luck this year.
Operator: Thank you. The next question is from Arvind Bhatia of Sterne, Agee. Please go ahead.
Arvind Bhatia - CRT Capital Group LLC: Thank you. Just a quick follow-up. I wondered if you could talk about your development plans for the PlayStation 3 and 360, how many SKUs you think you might have this year, and then just the plan going forward? And also the unannounced title from 2K, I think the adjective is soon, should we expect E3 potentially to be that timeframe? Thanks.
Karl Slatoff - President: Hey, Arvind, it's Karl. In terms of plans for the PS3 and 360, we're currently planning to do NBA and WWE again on those platforms as well. What's the second question?
Strauss H. Zelnick - Chairman & Chief Executive Officer: It was unannounced title for 2K, are we going to learn more in E3?
Karl Slatoff - President: Yeah, you'll learn more on when 2K announces it.
Arvind Bhatia - CRT Capital Group LLC: Okay. Thank you.
Operator: Thank you. The next question is from Stephen Ju of Credit Suisse. Please go ahead.
Stephen Ju - Credit Suisse Securities (USA) LLC (Broker): Okay, thanks very much. So Strauss, as you think longer term about the continued transformation Take-Two is seeing, you've chosen to engage with the APAC market consumer through distribution partners, you have no choice to do so. But with the Chinese market, but every other market globally it's probably going to be fair game for you guys to establish a direct relationship with the consumer. So where do you stand on direct versus partnership driven at this point? Thanks.
Strauss H. Zelnick - Chairman & Chief Executive Officer: Yeah. Thanks, Stephen. It's a great question. Look, the Asia Pacific market is a very significant area of focus for us. We've done meaningful amount of development there. We've launched titles there. We have a title NBA 2K Online which generates monthly revenue and profits for us. It's been a great piece of business for us. And as you correctly pointed out, we worked with strong partners for much of the region now. We are a publisher in Japan although we have distribution partners there as well. And I think in the past, what you saw was a real allergy to any kind of financial risks. So we entered the region focused on how we could mitigate business risks and financial risk. And I think now we feel a little bit more confident about financial risks because we have a good deal of experience with free to play games and massive multiplier games and a good deal of experience in the region. In fact, I just got back from the trip to the region a little over a week ago with some of my colleagues here, which is relatively a common occurrence for me. So we're feeling better about how we operate there and as you know we're a team that knows what we don't know, when we like to learn things and we're very disciplined as we enter new markets and new lines of business. So in terms of what that means going forward, it varies market by market. I think in the Chinese market, it's pretty likely that we and our competitors are going to have strong local partners, because the media business is an area of meaningful focus for the Chinese government and they really want us to work with strong local partners. I don't really see that changing but it doesn't interfere with our activities. In fact, to the contrary I think it promotes our activities. And Tencent and others have proven to be exceedingly strong partners for us. So I think we're lucky in that way. In some other parts of the region, we absolutely (45:22) ability and if it would make sense to go direct, so that is the possibility but we really don't mind sharing. We're focused on getting the very best possible result. And we're focused on delivering the highest quality of content to consumers and in certain instances, that means it behooves us to work with strong local developers and/or distributors.
Arvind Bhatia - CRT Capital Group LLC: Thanks, Strauss, and congrats.
Operator: Thank you. At this point, I would like to turn the conference back over to management for any additional or closing remarks.
Strauss H. Zelnick - Chairman & Chief Executive Officer: Thank you very much for joining us today. We're obviously really proud of the results that we as a company generated in the last fiscal year. I just want to take a minute to thank our creative teams and our creative teams who generate these results, but they do so, by following their passions and we try to create an enterprise that makes it not only safe for them to do so but gives them all the resources they need to follow their passion. That's all we think about every day. And the goal of this enterprise is to be the most creative, the most innovative and the most efficient. And this past fiscal year I think reflects the fact that we got closer to that goal than ever before. And we're proud about. We aim do to even better going forward. So thanks for joining us. We really appreciate it.